Operator: Thank you for standing by, and welcome to the Regis Resources Half Year Results Briefing. [Operator Instructions] And finally, I would like to advise all participants that this call is being recorded. I'd now like to welcome Jim Beyer, Managing Director and CEO, to begin the conference. Jim, over to you.
Jim Beyer: Thanks, Paulie. Good morning, everyone, and thanks all for being on the call with Regis Resources for our December 2026 half year financial results. I'm joined by our CFO, Anthony Rechichi, our COO, Michael Holmes; and our new Head of Investor Relations, Matthew Collins. Welcome Matthew. On this call, we'll be referring to various slides that are in the pack that was released earlier this morning. And if you don't have it, the document can be downloaded from our website or the ASX. So now moving through the slides to Slide #3. This is a great slide, and it highlights the continuing step-up in financial performance for the half underpinned, of course, by the favorable gold price environment. Running down the list of financial results. We're very pleased with the continued uplift in earnings, in profitability and in cash generation, reporting both a record net profit after tax and cash flow for the period. Across our assets, we've seen solid and consistent operational performance, which we expect to continue into the second half of the year. Gold production and all-in sustaining costs for the first half of FY '26 was in line with expectations at nearly 187,000 ounces of gold at an all-in sustaining cost of $2,850 per ounce, and that includes a $188 an ounce noncash charge for the stockpile inventory drawdown. Now we sold our gold into another period of record spot gold prices. And at the end of December, we finished with $930 million of cash and bullion after a build of $413 million in just 6 months. Furthermore, the company is debt-free. Our balance sheet is in a very strong position. And given the cash-generating capability of our assets, it continues to strengthen each day, which positions us well to capitalize on growth opportunities. In line with our strong balance sheet position, the Board has formalized a new capital management policy, which we have also released today. The new policy provides a clear structure for returning capital to shareholders while also prudently allocating capital to existing operations, maintaining a strong balance sheet and funding continued growth. We expect to pay a fully franked ordinary dividends on a semiannual basis having regard, of course, to prevailing cash and bullion balances, business cash flows, available franking credits and other capital allocation priorities. Ordinary dividend payments are expected to represent between 25% and 50% of the group cash increase over the preceding half financial year. Now this has led us to the declaration of a $0.15 per share fully franked dividend for the half for a total of about $114 million, and we look forward to being able to continue to deliver strong shareholder returns. And with that, I'll hand over to Anthony to take us through a bit more of the detail on the half year results.
Anthony Rechichi: Thank you, Jim, and good morning, everybody. I'll start by having you all turn to Slide #4. And with that as well as the very impressive financial performance, as we discussed in the recent quarterly, the half year outcomes show we are very much on track for our full year guidance numbers. We sold 182,000 ounces of gold into an increasing spot price market, realizing just under $6,000 an ounce over the period, and that underpinned high cash inflows and overall profitability. Those cash flows resulted in $639 million of statutory operating cash flow. Remarkably, we also delivered a $323 million net profit after tax, a record, as Jim mentioned, compared to the $88 million in the first half of FY '25. And you'll see on the bottom of Slide 4 that the change in the net cash in bullion was a whopping 306% increase remembering that we had $300 million in debt at 31 December '24, and we're obviously debt free now. You'll see some more of the cash build up in the upcoming slides in this presentation. Now just turning to Slide 5, and that shows the cash and bullion movement during the period. You'll be familiar with this chart from our recent December quarterly report which is in the format that we've been using for a long time now in our quarterlies. So this chart includes our bullion on hand, which is valued at market price rather than a cost in this instance. If you have any questions on the difference in the presentation of these cash flows versus our statutory cash flow statement in the half year report, please feel free to ask, and we can point you to the differences in classifications, et cetera. Now reading this chart, it's clear to see that our operations generated in excess of $700 million in the half, and we spent $190 million on capital, inclusive of our growth projects, $39 million on exploration and $10 million at McPhillamys. Additionally, $19 million of expenditure was for corporate costs, interest and facility fees. And of course, you can see the $38 million dividend payment we made back in October. Moving on to Slide 6 now. You can see a simple yet effective representation of the ability of our assets to generate significant cash. Over the past 6 months, the business has generated $413 million of cash and bullion and look at that since December 2023, over $1 billion. Importantly, this is not by doing anything extraordinary. It is by being unhedged and by delivering what we said we would do and doing so in a healthy spot gold price environment. Now on to our income statement, and that's Slide 7. The layout on this slide shows our income statement in the simple transparent flow from our sales to our statutory net profit. During the half year, gold sales revenue was up 40%, off the back of record spot gold prices. Cost of goods sold were similar to last time around and finance costs were down now with the extinguished debt. But you'll see tax expenses up, and you'd expect that off the back of such high pretax profits. And that's reminder for you all that we move back to tax payments in cash from next month. So all said and done the half year profit after tax is a magnificent $323 million, up 267% on the corresponding half. Now following on from all of the strong cash flows and profits I've mentioned, naturally, our shareholders' minds turn to dividends and other shareholder returns. The Board has responded to this with a new capital management policy, the key elements of which are summarized there on Slide #8. First immediate results of this new policy is the declaration of a $0.15 per share fully franked dividend, a significant increase on the $0.05 per share dividend we paid back in October last year. And importantly, we look forward to making franked dividends a regular part of the investment experience in Regis. Thank you, and back to you, Jim.
Jim Beyer: Thanks, Anthony. And ending the slides with a dividend that's 3x larger than the one we paid for the whole of last year is certainly a great spot. And that's just for the first half is a great spot to hand over from. Look, the ability for Regis to pay these dividends in line with our new capital management policy is really a testament to us delivering what we said we would consistently deliver for a bit over 2 years now and reaping the rewards of the gold price environment. Now I'd ask you to move to Slide 7 briefly for no other reason than really just to reiterate -- sorry, to Slide 9 to reiterate the guidance for the year. There's nothing special there. We haven't changed it. We're still on track. So nothing new there. Obviously, the gold price is very beneficial to us. But if you can't consistently deliver the gold ounces from your projects into today's gold price at a reasonable cost, you can't take full advantage of the price environment for shareholders. And we've been able to take that advantage and the proof is in the significant returns we're now able to deliver to shareholders. So if we just move to Slide 10, please. So in summary, we are unhedged, debt-free and Regis consistent operational performance continues to generate cash. And with Regis Resources -- but with Regis, the records for the first half include record statutory net profit after tax, record cash flow and that gave us $930 million net cash and bullion at the end of December '25, delivering over $1 billion in cash build since December '23. And  there is clear ongoing cash-generating capacity. The reinstated dividends with a new capital management policy paying that $0.15 a share for a total of $114 million fully franked giving just on fractionally under $700 million now totally paid -- total payment in fully franked dividend returns since 2013. At the end of the day, there's no need to promise chocolates tomorrow when we're making them today, returning them today, and you can eat them today. We'll continue to progress our growth strategy while producing profitable ounces. And so look, on that note, thanks for listening, and I'll now hand it back to Paulie and open the floor up for questions.
Operator: [Operator Instructions] And your first question comes from the line of Levi Spry of UBS.
Levi Spry: Thanks for your time. Great news on your dividend policy. I guess on my mind, a little bit is just the next little while, we don't see material CapEx looming, but what is the update on McPhillamys. It's a typical sort of a project that's been left behind through this gold cycle, lots of optimization to be had. So what's the update?
Jim Beyer: Yes. Good question. So in December last year, we were in court. We basically got the two-pronged approach in McPhillamys. We are undertaking the -- we're in court with the judicial review. We feel that there was some missteps in the process and the justice that we were allowed or the proceedings and the way that the process was run, and we're appealing that. That's been heard in court. The judge has reserved his decision. We're not -- there is no set time line on when to expect a response on that, but we'd like to think that, that will be by the middle of the year. If we're successful there, and obviously, we believe we should be, then the new minister will and department will go and review and correct those procedural issues. And then we'll see whether it makes a new decision. So that takes -- obviously, it takes quite some time, things like that don't happen quickly. So we're working on hoping that, that occurs. But what we're also doing at the same time is we've identified an opportunity and we've still got a lot of test work to do. But we think that there may be an option for what's called integrated waste landform, we basically press the tails, turn it into a cake and co-mingled it in the waste rock dump. that is a whole new process and will take quite some time to work our way through the approvals process, assuming that we can get it, of course, which is not certain. Either way, we're anticipating that we wouldn't be in a position to make any FID on McPhillamys until probably early 2028. So while we're spending money on it, and there's clearly a project there, I think it's going to cost us about over the next couple of years, about $60 million, maybe to get it to that point. We clearly, we'd love to have the mine running at the moment, but that's the time which is really saying it's at least 2 years or around about 2 years before we start spending on it. So McPhillamys is very significant in our medium-term capital demand, but not in the near term. I think that answers your question.
Operator: And your next question comes from the line of Alex Barkley of RBC.
Alexander Barkley: A question on the franking credits. Are you able to give the current balance. And when you say it's going to be a factor going forward, does that mean you want to keep it at 100% fully franked, do you expect that's pretty achievable even if hypothetically, you get towards the top of that payout ratio? And then as a follow-up, would buybacks ever be part of your capital management strategy, maybe if the franking isn't there?
Jim Beyer: Yes. Look, I'll let Anthony answer the franking credit one, and then I'll come back to on the buybacks.
Anthony Rechichi: Yes. Look, on the franking credits. So we start paying tax again next month. What we've effectively got the catch-up there for the FY '25 period. And then once we make that, we start going back to making the regular installments each month as you do when you're a taxpaying method. What that does, that's allowed for us because that's happening in this financial year, it's allowed for us to make these dividend payments a franked payment in anticipation of those tax payments that we might start making next month. Now the go-forward plan under the policy is that from our expectations, we'll continue to pay fully franked dividends and that's what we stated in the policy. So we've mapped that out and the expectations are so long as we're profitable, we're paying tax and that gives us the ability to keep paying those fully franked dividends and the calculation allows for that.
Jim Beyer: Yes. I think Anthony has mentioned before, there's quite a significant tax payment that's due for back tax, so basically, I think, FY '25 of around $94 million, that immediately gives us franking credits for now. We just have to have those by the end of this financial year. And the prices and the profit is great. But it also means you got to start paying tax, so that will have an impact on our cash flows going forward, along with everybody else that's making profits. And I think in our modeling, we're quite comfortable that franking -- there's plenty of franking credits there. In terms of share buybacks, it's certainly in our policy to be something that's considered. For now, we've just decided to have that there in our policy, but we made no decision to action anything on that at this moment, but that will continue to be something we'll consider going forward.
Operator: And your next question comes from the line of David Coates of Bell Potter Securities.
David Coates: Congratulations on delivering the chocolates. Well done, question on the...
Jim Beyer: Great. Somebody picked up on that.
David Coates: I was listening hard, mate. The -- just on -- if I've done the numbers sort of roughly correctly, whilst the new capital management policy is 25% to 50% of half yearly cash build. I think the distribution just announced is around sort of 27%, 28% of that. Without getting too far in the way, just interested in some of the factors that have been considered in arriving at that payout ratio.
Jim Beyer: Yes. One of the things that you need to -- we do, in that calculation, take into account the cash build, which is probably the way you've done that calculation. The other thing that we also take into account, which is effectively at the moment, a noncash impact, but it will be very shortly is the payment of tax. So at the moment, we're not paying tax, but we're actually accruing an obligation. So rather than shoot off really quickly and pay a lot and then find -- we've got this big tax bill that we forgot to take into account. We actually -- we're watching what that accrual is, and we're accounting for that. Of course, once we get into a regular rhythm of paying tax as it's each month, which is where we're heading basically next year, then that becomes a little less -- it's easy to account for. But right now, we're just very cognizant of these tax payments that are upcoming, and we just want to make sure that, that's factored in. I hope that makes sense.
David Coates: Yes, that makes sense. That makes sense.
Jim Beyer: Which I think if you do the numbers, you'll see that the payout was a bit higher than -- as a proportion of percentage, it was a bit higher of what was available, yes.
David Coates: Fair enough. And then because I was listening so hard, Jim, I also just on the comment you made on capitalizing on growth opportunities. So as usual, I'm sure you pull out of your draw, your M&A list. But just on those sort of growth options, what -- obviously, you guys got some organic stuff, but I mean how -- what's the focus, I suppose?
Jim Beyer: Yes, it's interesting. I mean, we've -- the team decided Duketon is doing some great work on a couple of fronts. We're going back to old areas and Buckwell was a fantastic example of reworking, rethinking ground that had previously been walked away from, and it's given us a great opportunity there to keep the mill full at Duketon North now for another 5 years. And I think giving us something like 30,000 or 40,000 ounces a year over and above what we've been anticipating out of Duketon, because we've always said Duketon should produce 200,000 to 250,000, Buckwell is going to sit on top of that. So that's great. And the beauty of that is not much capital required relative to other things. Exploration is certainly an area where we will probably slip as we have done, you've seen, we've increased a little bit of money into that, and that's off the back of some great work. The team there is giving us some good reasons to put some more money into it. Over at Tropicana, there's things just keep trundling along, I don't think at the moment, there's anything significant. There's lot that hasn't already been identified, the undergrounds keep going. The exploration drilling keeps extending. We want to get back out in the field and do some exploration for open pits, which would be great. In terms of -- I've already talked about McPhillamys, but that's certainly longer dated. In terms of growth opportunities sitting in front, we're really -- we're the same as everybody. We're looking at options really -- I mean yes, we are looking, is it right to use cash? Or is it right to use paper script? Is it right to do a bit of both? They're all the things that we consider in terms of how we fund it. We just haven't got to a point where we've been satisfied that something is beneficial for our shareholders and we'll just continue looking until we find something that does kind of work.
Operator: And your next question comes from the line of Adam Baker of Macquarie.
Adam Baker: Jim and Anthony, thanks for the updated policy. It looks like a nice policy to reward shareholders on the dividend side of things. Just wondering with regards to the -- obviously cash, but you also got bullion as well, is this just bullion on hand? Are you also considering gold in circuit here? Or are you just drawing the line bullion on the head? And I'm noticing at the end of 31st of December, you had about $29 million bullion on hand. Is that kind of the confidence, the level that you normally see that. Obviously, it's depending on gold prices, but just any clarity on that?
Jim Beyer: Yes, that number moves around for -- it is just bullion on hand. We don't -- for that cash and bullion in balance, we don't count the value of stock. And the reason that we're quite comfortable doing that is by the time the inks dry on those reports that bullion is usually sold. There's nothing closer to actual cash than bullion that I know of. So we -- when we declare our cash and bullion and you're looking at those numbers there that I think we put in the report and we say how many ounces and what value they -- as I said, they're sold within a day or so. But we don't count anything that isn't an actual billion bar that you can hold. And we don't hold -- we don't do any strategic holding for -- on the basis of, let's see if the gold price goes up, we just turn it pretty quickly. And  just push it out the door and send it off to whichever refinery that gold is due to go to.
Adam Baker: Yes. Okay. That's clear. And just secondly, on McPhillamys, I might have missed it at the start there, but it sounds like the judge has had a couple of months to sit on this judicial review now. Do you have any indication when the outcome might come about?
Jim Beyer: Well, the case was heard in mid December. There is no statutory period sort of, you talk to lawyers and asked 2 lawyers a question, you get 3 different answers. But -- maybe we should delete that. But the guidance was, don't expect anything for at least 3 months was sort of what people were intimating, but then all of that occurred -- that occurred just before Christmas and you don't -- people take January off. So if you add 1.5 months to the 3 months, you got mid-December, mid-January, February, March, April. Maybe we'll hear -- we'd like to think that we'll hear something in April or May, but we just don't know. We think it was all pretty clear. We believe that it wasn't particularly complicated. It was quite clear what our agreements was and the rationale behind it. But the law will take the time that it requires.
Adam Baker: Yes. That's understandable. And the $60 million you mentioned to kind of get to FID in 2028. Can you kind of give a rough breakdown, how much of that is going into the drill bit and how much is going into desktop study work?
Jim Beyer: Look, it's spread across a whole lot of things, actual field -- actual testing. It's got -- and it could be up to that. We've still got to work it out exactly what we -- because it's sort of some of it's sequential, but some of it's permitting, some of it's legal fees, ongoing legal fees, some of it's environmental studies that we have to do again because unfortunately, the project now has been delayed for so long that some of -- and we've had to modify things that we've got to go back into a whole bunch of new heritage reviews. And I'll tell you what, they are not the cheapest things to do these days. They are extremely expensive, and they never get simpler. They take -- they used to take days, then they took weeks, now they seem to take months and they've got to be cost seasons. So there's costs involved in that, of course, it's the engineering works as well. So it's quite a gamut spread across the 2 years.
Operator: [Operator Instructions] And your next question comes from the line of Matthew Frydman of MST Financial.
Matthew Frydman: Maybe firstly on the capital management policy. I guess looking at the dividend calculation, unless I've missed something, there's no mention of debt or, I guess, about -- thinking about your changes in your cash position on a net basis. So should we read into that, that, I guess the intention is to always be debt-free or if you did have to draw down on debt for whatever reason, expansionary growth or an acquisition or whatever it may be. Do you expect that will trigger, I guess, a rethinking of this capital management policy?
Jim Beyer: Well, we haven't had to mention debt because we don't have it, but that will be taken into account. But just we don't -- we certainly don't take a view that we will only do it if we're ever debt-free. We think when we look at it, we think, all right, well, at the moment, we don't have massive demands for  CapEx, maybe McPhillamys, there's no certainty that we'll make a decision to fund McPhillamys completely out of cash flow. We'd have a pretty lazy balance sheet if we did that. So certainly, sometime in the future, it would make some sense to have maybe a bit of debt on the balance sheet to fund the project, but still continue to be in a position. The bottom line is we'd still be in a position to maintain dividends. That's all part of what the board will have to consider. And we discussed what we will do in those situations. And there's nothing wrong with debt as long as it's on responsibly. And in fact, it's quite reasonable to think that some companies have got some debt and continue to pay a dividend. That's a responsible business. But it's certainly not -- it's certainly right to say that debt will not necessarily stop us from paying dividends.
Matthew Frydman: Okay. Got it. I guess it falls under the consideration of future capital allocation requirements. Maybe moving over to...
Jim Beyer: Just to sort of add a little bit. The one thing that we've just got to watch is we certainly don't want to appear that we're going into debt so that we can pay a dividend. That's not what we want to -- that's not the message we want to send, but we certainly think that it's having a bit of debt is reasonable on the balance sheet. You can manage it and you can still maintain a position to pay dividends when you look at the reasonable outlook. So we're quite comfortable with that concept. It's just right now, we don't have to worry about it.
Matthew Frydman: Yes, certainly not an issue at the moment. Maybe changing tack to, I guess, the cost environment and cost pressures you're seeing, obviously, pretty healthy cash flows across the industry pretty broadly. So when you think about your, I guess, your mining contractors, your support services, your exploration budget that you've talked to, are there any material pressures that you're seeing as we start off a new calendar year? Or I guess, as you think forward to the next financial year, what are your levers to control costs in that environment? And then maybe secondly, if I can, and maybe preempting your answer a little bit from -- at least from a stripping perspective, given the strong margins and the work you're doing across the operations to unlock more profitable ounces, how should we expect the stripping profile across the business to change or to pick up? And what sort of impact is that going to have on your costs at either assets?
Jim Beyer: Yes. Thanks, Matt. All right. Well, I mean, first off, generally the cost environment, I think we're seeing across the whole board generally sort of consistent with CPI. We are seeing hotspots really availability of some personnel, underground is always -- has always been a challenging space and continues to be. It just seems to have gotten a little -- things loosened up a little bit when the nickel underground -- a couple of years ago when the nickel guys all shut and operators were out there. That's certainly not the case anymore. We're seeing -- yes, you can always get a bottom on a seat, but what you're looking for is competent and experience, and that's proving to be challenging. And it means that things take a little bit longer or it means you might have to push the cost up a little bit. But generally speaking, we're not seeing any massive increases from CPI. In terms of the question of the stripping, I mean, if you talk about what are the big things that impact open pit mining cost per ounce of gold, it's strip ratio and grade, you can worry about CPI movements of 5% and/or 10% even. But if your strip ratio goes from 2% to 4% then that's pretty scary impact on your cost, right? That's the main thing. So you're on the right track of asking the question. I think -- I mean, we -- things that will push it up for example, up at Buckwell, we're up there now mining waste in preparation, and we've outlined that in the -- that doesn't show up in our all-in sustaining costs until we start production. We actually pre-waste mining before commercial production, we treat as growth capital. I think the number we put on that was about $40 million or $50 million, it was about $40 million. Other things that we are looking at, we could -- there are big CapEx that we are considering for Garden Well and maybe even Gloster, which are really strip ratios that the gold price was 2.5. You wouldn't do it, but you might do it now. But that work is probably, if we're going to put them in our plans and agree to them. Some of them require 18 months or 2 years’ worth of prestrip before you actually get to the ounces. So we're not at a point where we're making decisions on that yet, but we're probably -- we certainly are evaluating all of those options at the moment. But if the gold price stays where it is, we certainly would be stupid not to or crazy not to be considering those, particularly if we've got spare mill capacity somewhere out in the future, and it's there to be used. One of the things that we have done actually to sort of push our unit costs down, our contractor makes have just -- we've got a 3,600 digger on site, a big digger which is allowing us to actually move larger volumes at maybe 30% on a unit cost basis less than we were before. But we factored all of those into our guidance. But yes, there are some -- we've got options to take more cutbacks. We're also chasing options that might help reduce the unit cost to offset some of that. But I think the big thing we need to consider with those big cutbacks and the big strip ratio numbers they make pretty good financial sense at $6,000 or $7,000 an ounce. Ideally, what I'd love to do is, maybe have a plan to do that, but keep encouraging and keep the good work coming from our exploration team who are finding more near surface, better grade stuff. So we're chasing both of those options at the moment.
Matthew Frydman: Maybe just quickly, you mentioned Buckwell, can you remind me, and you probably said this previously, but when do you expect Blackwells going to move into commercial production?
Jim Beyer: Next year, later next year.
Matthew Frydman: Next calendar year?
Jim Beyer: Yes.
Operator: And this does conclude today's Q&A session. I'll turn the call back over to Jim for closing remarks.
Jim Beyer: All right. Thanks, Paulie. Thanks, everybody. Good questions. We appreciate that. Thanks, everyone, for joining us. As always, if there's some things, I think, as Anthony mentioned, some nuances of the accounts that you would need some explanations for or need, please feel free to give us a call, get in touch with Matt, share your details. And thanks so much for joining. Have a good day.
Operator: This does conclude today's conference call. Thank you all for joining us. You may now disconnect.